Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to today's Conference Call to discuss LifeVantage's First Fiscal Quarter of 2020 Financial Results. At this time, all participants are in a listen-only mode. Following the formal remarks, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up. Hosting today's conference will be Scott Van Winkle with ICR. As a reminder, today's conference is being recorded. And I would now like to turn the conference over to Mr. Van Winkle. Please go ahead, sir.
Scott Van Winkle: Thank you. Good afternoon, and welcome to LifeVantage Corporation's conference call to discuss results for the first fiscal quarter of 2020. On the call from LifeVantage with prepared remarks are Darren Jensen, CEO; and Steve Fife, Chief Financial Officer. By now, everyone should have access to the earnings release, which we announced this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of LifeVantage's website at www.lifevantage.com. This call is being webcast, and a replay will be available on the company's website as well. Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of LifeVantage's most recently filed Forms 10-Q and 10-K. Please note that during today's call, we will discuss non-GAAP financial measures, including results on an adjusted basis. Management believes these financial measures can facilitate a more complete analysis and greater transparency into LifeVantage's ongoing results of operations, particularly when comparing underlying operating results from period to period. We've included a reconciliation of these non-GAAP measures with today's release. This call also contains time-sensitive information that is accurate only as of the date of this live broadcast, October 30, 2019. LifeVantage assumes no obligation to update any forward-looking projection that may be made in today's release or call. Now I will turn the call over to the company's CEO, Darren Jensen.
Darren Jensen: Thank you, Scott, and good afternoon, everyone. It's a pleasure to be with you again today to discuss our first quarter fiscal 2020 results. During the quarter we are intensely focused on preparing to the launch of our most significant new product in recent years; Protandim and NAD Synergizer. This revolutionary product is the first addition to our flagship Protandim line since 2016 and we're very pleased with the initial sales that consumer response, which is meeting our robust expectations and to date is shaping up as one of the strongest product launches. We're the early days of the launch, but anticipate that October could be among the best sales month in our history. And we will continue to focus on building this product across our global footprint. Before I discuss our progress with Protandim NAD Synergizer, let me recap the first quarter activity, which again were largely focused on preparation for this important launch. Our year-over-year revenue growth continued during the quarter as we generated 1% increase, which significant mark the improvement in margins, adjusted EBITDA and net income. The revenue growth reflected strong year-over-year gains in Asia-Pacific and Europe which increased 10.4% including 10% growth in Japan. In September, we held a highly successful Japan convention where we saw strong activity ahead of the event, as well as increased sales and improved distributor engagement and customer demand. Revenues in the Americas decreased 2.2% on a year-over-year basis as a result of the timing of activities in our Red Carpet program, as well as our focus on previewing and training our field on Protandim NAD Synergizer ahead of the October launch. We made good progress on our 2020 initiatives during the first quarter, with a primary focus on our initiative to become masters of biohacking subscription. This initiative is intended to drive the percentage of our customers that process a subscription order within their first 90 days, increase average order sizes and drive retention. A key component to this initiative is the launch of Protandim NAD Synergizer. As I noted, throughout the first quarter we were focused on preparing for and building consumer excitement for the product launch. While these activities did not have an impact on first quarter revenue generation, each was designed to drive the success of our formal launch at the beginning of the second quarter. Our preparation for launch was comprehensive and intent and these efforts have paid off strong initial sales. During the first quarter we work closely with our field leaders in preparation including teasing the product that are July Elite Academy in Kansas City providing training and product to our field leaders, so they can test it and build personal experience ahead of initial shipments in October. As a result our field leadership was better prepared to educate our broader consumer base at the time of launch, driving a stronger initial response. We also invested heavily in clinical studies building marketing material, presentations and promotional campaign to drive consumer demand, each of these efforts reflect our confidence that Protandim NAD Synergizer will be a strong contributor to our growth and a key addition to our flagship Protandim line. Protandim NAD Synergizer has been typically formulated to target the nicotinamide adenine dinucleotide molecule, more commonly known as NAD. By increasing NAD level we also know we're possibly affecting NAD dependent pathways specifically activating a family proteins call sirtuins. Sirtuin activity which declines as we age has been linked to host of health benefits including supporting healthy longevity, improves mental focus and concentration, positive mood and motivation, boosting mental and physical energy, supporting a healthy inflammatory response and supporting a healthy cardiovascular system. We also know Protandim NAD Synergizer is more effective than the competition. Our studies have shown it can significant -- significantly increase both NAD level and Sirtuin activity at exponentially higher rates than that of others in the marketplace, and do it in much more quickly. Further, our study show significant synergies when Protandim NAD Synergizer is combined with our Protandim Nrf1 and Nrfw Synergizers to further improve outcomes. As result of this synergy in the sensorial effect of Protandim NAD Synergizer we have thus far seen a lower-level of cannibalization and higher incremental sales than we would typically anticipate with a new product launch. In an effort to further capitalize on this synergy we've also launch the Protandim Tri-Synergizer. The Tri-Synergizer combines all three Protandim offering into a single stack which is being very well received across our consumer. Protandim NAD Synergizer and the Protandim Tri-Synergizer stack should be an important contributor to our initiative to drive subscription, increase average order sizes, improve the distributor response story and grow consumer demand and retention.  We also continue to evaluate implementing a three shipping program to further support our subscription model and adapting our protect offering to support consumer demand in regional markets. With the initial effort to offer a more consumer friendly tablet size of our Protandim Nrf2 in Japan which is slated for the second half of fiscal 2020. Our second initiative is to continue to work to attract and create biohacking influencers. This includes our efforts to support our Red Carpet program, expand our geographic footprint further during fiscal 2020, drive growth and synergy in our greater China region, refine the cadence and volume of our distributor event and introduce a new series of meetings for influencers. We'll begin to execute the new event cadence in the first quarter. We will continue to drive Red Carpet sales as the year progresses and we're on pace with our plan November launch at New Zealand and for one additional new market in Asia-Pacific during fiscal 2020. Third, we plan to further simplify business building at LifeVantage with the goal of making it easy to build a LifeVantage as it is to call an Uber. This includes a plan to introduce daily pay into our compensation plan, which is expected to roll out later this year, updating and enhancing our international compensation plan to further focus it on driving customer demand and driving further penetration of the LV app. Finally, we will continue to focus on building and enhancing our foundation for future growth, including new programs to develop internal talent, enhance our cyber security and upgrade our consumer facing system to improve convenience, remove friction and improve efficiency. To close, we had a productive first quarter and we're off to a good start in fiscal 2020. We're very pleased with the launch of Protandim NAD Synergizer and the Tri-Synergizer and believe we're on track to achieve our fiscal 2020 guidance. Now, before I turn the call over to Steve, I want to let our investors know that I have entered into a 10b5-1 program to sell a small portion of my life and each holding roughly 10% over the next year. This decision reflects my personal need to diversify and I set them out at modest percentage with my total holding and it spread plan sales transaction across for the next year so that it's only a modest amount is sold each month. I continue to maintain a high percentage of my personal assets in the form of LifeVantage stock and thus remain aligned with my fellow shareholders. I felt it was important to be transparent and announce this prior to the first sale. With that, let me turn it over to Steve to run through the financial results. Steve.
Steven Fife: Thank you, Darren and good afternoon everyone. I am pleased to report our first quarter results. We generated another quarter of positive year-over-year revenue growth, while delivering significant improvements in profitability. We remain confident and the momentum we have built and we plan to build upon this further as fiscal 2020 progresses. Please note that I will be discussing our non-GAAP adjusted results. You can refer to the GAAP to non-GAAP reconciliation in today's press release for additional detail. First quarter revenue was $56.2 million representing a 1.1% increase year-over-year. Revenue in the Americas decreased 2.2% to $40.2 million, while revenue in Asia-Pacific and Europe increased 10.4% to $16 million all year-over-year. Growth in the Asia Pacific and Europe region reflected continued strong performance across Asia-Pacific including strong growth in Japan of 10%. The modest decline in the Americas reflected our level of activity in preparation for the launch of Protandim NAD Synergizer, as well as lower Red Carpet activity which can fluctuate quarter. This also impacted the number of active distributors and customer accounts during the quarter. The impact of this change was partially offset by an increase in both our distributor and customer average order sizes. In addition, our year-over-year retention rates were consistent. Our gross margin was 83.7% compared to 83.5% in the prior year. The modest increase in gross margin was driven by lower inventory obsolescence and handling costs as well as changes to our geographic and product sales mix. Commissions and incentive expenses as a percent of revenue decreased 235 basis points year-over-year to 47.6%. The year-over-year decrease is due to the timing of accruals for incentive and promotional programs, as well as the current quarter level of activity in our Red Carpet program. Just as a reminder, the commission incentive expense rate will fluctuate quarter-to-quarter based on the timing and magnitude of promotions and incentive programs, as well as the inherent fluctuation to Red Carpet expenditures. We continue to target commissions and incentive expenses to be around 48%. Adjusted SG&A as a percent of revenue was 31% compared to 30.8% in the prior year period. The modest increase in adjusted SG&A as a percent of revenue primarily reflects an increased in employee headcount and related compensation costs and increase depreciation expenses associated with our investment in new technology assets that have been place into service. Adjusted operating income was $2.8 million or 5% of revenue compared to $1.5 million or 2.7% of revenue in the prior year period. Adjusted net income increased 85.6% to $1.9 million or $0.13 for fully diluted share, up from 1 million or $0.07 for fully diluted share in the prior year period. Adjusted EBITDA for the first quarter increased 44.7% to $4.7 million compared to $3.3 million in the prior year period. Please note that that we continue to expect fluctuations in our tax rate over the coming quarters as the first quarter effective tax rate of approximately 28% was above our full year expectation of 19% to 22%. Specifically, our tax rate can fluctuate significantly based on the timing and magnitude of stock awards vesting from quarter-to-quarter due to differences in the book versus tax expense deductions. These vesting events are treated as discrete items and accounted for solely within the period that they occur rather than adjusting for the differences on an anticipated annualized basis. As I noted, all of the adjustments from GAAP to non-GAAP are reconciled in our earnings press release. We ended the first quarter in a strong financial position with $13 million of cash compared to $1 million of debt. During the first quarter of fiscal 2020, we used $3.5 million of cash from operations and invested $800,000 in capital expenditures. The operating cash flow reflected investments in working capital including a $1 million increase in inventory and preparation the launch of Protandim NAD Synergizer, the payment of fiscal 2019 bonuses and increases in prepaid expenses associated with future distributor events. During fiscal 2020, we continue to anticipate a low-level of capital expenditures compared to fiscal 2019 as our incremental investment in the LV app are moderating. Finally, we use $1.4 million in cash to repurchase approximately 111,000 common shares under our share repurchase authorization and we pay down $500,000 on our term loan which will be paid in full by the end of our third quarter. As noted last quarter, we have a 10b5-1 program in place to facilitate our share repurchases. As of September 30, there remain $7.5 million available under the company's $50 [ph] million share repurchase authorization. Turning to our fiscal 2020 outlook, we're reiterating the guidance we provided when we reported fourth quarter 2019 earnings. For fiscal 2020 we expect to generate revenue in the range of $235 million to $245 million and adjusted non-GAAP EBITDA in the range of $20 million to $22 million with adjusted non-GAAP earnings per share in the range of $0.60 to $0.71.  Just a non-GAAP – our adjusted non-GAAP EPS guidance assumes a full year tax rate in the range of 19% to 22% compared to our effective non-GAAP tax rate of 13% in fiscal 2019. Now let me turn the call back to the operator to facilitate questions. Operator?
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Doug Lane from Lane Research. Please proceed with your questions.
Doug Lane: Hi. Good afternoon everybody.
Darren Jensen: Hi, Doug.
Doug Lane: Hi. Just looking at the first quarter, really come in at least right in line with I was expecting. And your tone is very positive on the early days of new Protandim products. So, just wondering what we're looking for here going forward is this new product sold in monthly supply, so we're waiting to see what sort of what the reorder pace is here. I just wondering why you wouldn't raise guidance or you just think it’s too early?
Darren Jensen: Well, Doug, thank you. That's actually very good question. We launch the NAD products right at the beginning of October, so we're still within our first month of selling the product. Initially, it appears to be very well, doing actually very well. And part of what we had explained in our earlier statements, what has been good about it is that we investing quite a bit in testing and in other programs and part of the testing that came back showed a tremendous synergistic effect between the Protandim NAD, Protandim Nrf2 and Nrf1 product when use in conjunction with each other. And that's why we're seeing what we believed a lower capitalization rate, because now there's a powerful story to show that all three should be used at the same time. So we've created packages of those three products together called Tri Synergizer, and the initial outlook seems to be very positive on those. And as we continue to watch the development of this line and these packages obviously just like what we did last year will begin to adjust our guidance if needed throughout the year earlier.
Doug Lane: So, I mean, if – you saw a lot in early October which is when you launched it. So, I guess you won't really begin to see the reorder pace for a couple of weeks now. So that makes sense. I get that. Did I hear you right that these three new products are going to be launch in Japan in the second half of the year?
Darren Jensen: What I mentioned about Japan was war efforts on -- are on right now is taking our Nrf2 product and adjusting the size. A lot of our consumer testing out there has indicated that the Japan prefers a smaller tablet size. So we're adjusting size of that product so they will have greater appeal to the consumer. That will be the first thing that goes out into Japan. We're right now evaluating the formulation of our NAD product and beginning and developing the rollout for global. So we'll be announcing that in future call.
Doug Lane: Okay. Got it. Thanks. Now Steve, I'm looking at the margins which actually came in better than I was looking for. You've had 200 basis points of operating expansion on 1% growth in sale. So I'm wondering if we start to the impact of the new products drive, accelerated sales growth then shouldn't we get at least that kind of margin expansion going forward. I mean, there is some build in leverage here. Isn't there?
Steven Fife: There is and we fully expect that. I think our guidance, if you just take the midpoint of our annual guidance which would be a $240 million and the EBITDA associated with that at $21 million where that would be roughly a 6% revenue growth and 15% EBITDA growth.
Doug Lane: Correct.
Steven Fife: So we fully anticipate leverage coming from our revenue growth. And that revenue growth will be driven through the adoption of NAD and as well as well as continued success in our Red Carpet program.
Doug Lane: Right, of course now, you mentioned free shipping, I think this is – I don't know, if I heard this before. Is that – what could be the impact on margins do you think with the move to free shipping here?
Darren Jensen: We believe that how we're structuring this. There'll actually be a minimal impact to margins.
Doug Lane: Okay, okay good. Last week and again I don't want dealt on the tax rate with regard to so much going on operationally, but with the 28% tax rate in the first quarter, I'm little surprise it just picking between 19% to 22% for the full year. I guess, you're telling me you can help me on the quarters, but what's the logic behind that? Why wouldn't you just eat the 28% and say 19% to 22% for the remaining three quarters?
Steven Fife: Well, if we're only that simple. We – I'd state – I ask you to look at our last year quarterly tax rate, Doug, when you know last year in our Q1 we reported roughly a 22%, Q2 was a negative 103% tax rate and then Q3 was 17% and Q4 was 29%. And so that's what – I mean, that's the magnitude of fluctuation that we're talking about. And I think at the end of the year we're still fairly confident around that range of 19% to 22%, but it will fluctuate rather dramatically in Q2 and then again back in Q3 as we look forward kind of some similar magnitude, maybe not quite as big to what we saw last year.
Doug Lane: Okay. Fair enough. Thanks guys.
Darren Jensen: Thanks, Doug.
Operator: [Operator Instructions] Our next question comes from Yurion [ph] Hoffman of Robeco. Please proceed with your question.
Unidentified Analyst: Hi. Good afternoon gentlemen. Last year you had a very strong launch in Taiwan. This quarter like greater China sales were somewhat weaker. Can you just elaborate a little bit from a greater China region?
Darren Jensen: Yes, sure. Thank you. The greater China region's been a very interesting area. I'm sure for those of you that are watching the channel. Initially there was a 100-day review that the Chinese government was making in Mainland, which affected many of our other members within our channel. But due to our e-commerce while going in there was very little affect on us. We're seeing some effect at least within Hong Kong and Mainland China has been with the riots that are occurring in Hong Kong and I think that has been widespread across all businesses within Hong Kong in that area. But with Taiwan, Taiwan has been a bright star for us out there. It is still in the earlier days of growth of that market. And as we develop more leaders there, the way that the Taiwanese leaders work are more in sprints and so as we bring on more and more leaders, I think we'll get more a stabilization in the revenue from month-to-month basis within Taiwan. So, really what we're seeing within Greater China is very positive when it comes to Taiwan. Right now as with most businesses, most of the world we're just watching the events that are occurring in Hong Kong and our urge about to everyone that hopefully there is a resolution at some point in the near future. Thank you.
Unidentified Analyst: Thank you.
Operator: We have reached the end of the question and answer session. I will now turn the back over Darren for any closing remarks.
Darren Jensen: All right. Well, thank you everyone for joining us today. We're excited about the launch of Protandim NAD Synergizer and our early results following the launch. We look forward to what fiscal 2020 has in store and updating you on our next call. Have a great day. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.